Operator: Welcome to Teekay Corporation's Third Quarter 2013 Earnings Results Conference Call. [Operator Instructions] As a reminder, this call is being recorded. Now for opening remarks and introductions, I would like to turn the call over to Mr. Peter Evensen, Teekay's President and Chief Executive Officer. Please go ahead, sir.
Ryan Hamilton: Before Mr. Evensen begins, I'd like to direct all participants to our website at www.teekay.com, where you'll find a copy of the third quarter 2013 earnings presentation. Mr. Evensen and Mr. Lok will review this presentation during today's conference call. Please allow me to remind you that our discussion contains forward-looking statements. Actual results may differ materially from results projected by those forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in the forward-looking statements is contained on our third quarter of 2013 earnings release and earnings presentation available on our website. I'll now turn the call over to Mr. Evensen to begin.
Peter Evensen: Thank you, Ryan. Good morning, everyone, and thank you for joining us today for Teekay Corporation's Third Quarter of 2013 Earnings Call. I'm joined this morning by our CFO, Vince Lok. And for the Q&A session, we also have our Chief Strategy Officer, Kenneth Hvid; and our Group Controller, Brian Fortier. During our call today, we will be taking you through the third quarter of 2013 earnings presentation, which can be found on our website. Beginning on Slide 3 of the presentation, I will briefly review some recent highlights for Teekay Corporation and our 3 publicly traded daughter entities. For the third quarter of 2013, Teekay Corporation generated $195 million of total consolidated cash flow from vessel operations, or CFVO, compared to $184 million for the second quarter of 2013. Teekay Corporation reported a consolidated adjusted net loss of $36 million or $0.51 per share for the third quarter of 2013, compared to a consolidated adjusted net loss of $20 million or $0.29 per share in the third quarter of 2012. The increase in our adjusted net loss year-over-year is mainly attributable to lower revenues in our FPSO fleet, partially offset by contributions from strategic acquisitions and organic projects that delivered throughout the past year and savings from the redelivery of 15 chartered-in conventional tankers since the start of 2012 and other cost-reduction initiatives. The repairs to the Voyageur Spirit FPSO's defective gas compressor have been completed, and the unit has been on hire at full rate from -- with the charterers since August 27. We are now awaiting formal certification of final acceptance from the charterer, which I will touch on later in the presentation. Based on the recent growth in our offshore and gas businesses, both Teekay LNG Partners and Teekay Offshore Partners intend to increase their limited partner cash distributions by 2.5%, commencing with the fourth quarter distributions payable in February 2014. Importantly, these 2.5% LP distribution increases will lead to an increase in Teekay Parent's annual cash flows from its LP and GP interest approximately $12.3 million, an increase of approximately 8% as both of our GP incentive distribution rights, or IDRs, are in the 50% high splits. Our 3 publicly traded daughter entities continued to execute on their respective business plans during the quarter. For the quarter ended September 30, Teekay LNG Partners declared a cash distribution of $0.675 per unit. Based on our GP and LP ownership interest, the cash flows received by Teekay Parent from Teekay LNG Partners totaled $23 million for the quarter. In September, Teekay LNG Partners secured additional near-term growth by agreeing to acquire a second newbuilding LNG carrier from Awilco LNG under similar terms as the first vessel acquired last quarter. The bareboat chartered back to Awilco for the second vessel is for a firm period of 4 years, plus a 1-year extension option. The fixed price purchase obligations at the end of the initial term and the option period result in an equivalent return to Teekay LNG across both vessels. The second LNG carrier is currently completing its final trials in South Korea, and Teekay LNG expects to take delivery in late November. Teekay LNG continues to experience a strong pace of business development opportunities for both LNG transportation and floating storage and regasification, or FSRU, projects. Partnership is currently bidding on several projects, which are expected to start up beginning in 2016 and beyond. New liquefaction facilities are scheduled to come online. Moving to our other MLP. Teekay Offshore Partners declared a cash distribution of $0.5253 per unit for the third quarter. Based on our GP and LP ownership interest in Teekay Offshore, cash flows received by Teekay Parent totaled $16 million for the quarter. In September, Teekay Offshore completed its accretive acquisition of a HiLoad Dynamic Positioning unit from Remora. Modifications to the HiLoad DP unit required to service the long-term contract with Petrobras were recently completed, and the unit is currently being transported from Norway to Brazil. The unit is expected to commence full operations under a 10-year time-charter contract with Petrobras in the second quarter of 2014, following the completion of operational testing. Teekay Offshore is currently bidding directly on several new offshore project opportunities, and they are involved in several customer-funded front-end engineering and design or FEED studies, which greatly improves the partnership's chances of being awarded the project. For the third quarter, Teekay Tankers declared a fixed dividend of $0.03 per share. Based on its total ownership of class A and class B shares, Teekay Parent received a cash dividend of approximately $600,000. For the third quarter, Teekay Tankers generated a cash available for distribution of $0.10 per share, up from $0.07 per share in the second quarter, mainly due to higher average realized spot tanker rates and lower operating costs. To preserve Teekay Tankers rights under the associated contract, in October, Teekay Tankers exercised an option to purchase 4 additional LR2 newbuildings under its contract with STX. However, we view it as unlikely that Teekay Tankers will take delivery of any vessels from STX as the yard is in trouble financially and under the control of its creditors. Fortunately, no installment payments were made to the shipyard, and Teekay Tankers is now evaluating its alternatives, including taking legal action against STX for damages. Turning now to Slide 4. I will provide a brief operational and commercial update on some of our FPSO units. As mentioned in my opening remarks, Voyageur Spirit FPSO's defective gas compressor was repaired and the unit reached full production capacity on August 27. Since that time, Voyageur Spirit has been earnings its full rate, and we're now awaiting formal certification of final acceptance from the charterer were E.ON. We expect to receive this certificate upon successfully completing certain operational tests, which have been temporarily delayed by the charterer due to a field-related issue that is the responsibility of the charterer. It's important to note that while the Voyageur Spirit FPSO produced partial volumes for oil for E.ON while -- prior to August 27, we were receiving no financial rate. Based on this production, Teekay Parent and Teekay Offshore continued to engage in commercial negotiations with E.ON to recoup a portion of the losses incurred on the contract. Any recouped losses will be credited back to our Teekay Parent's indemnification parent [ph] to Teekay Offshore, which, up to September 30, totaled $30 million. Note that Teekay Parent sales price to Teekay Offshore based on fair market value was approximately $75 million more than Teekay Parent's cost to acquire and upgrade the FPSO. Also, in late August, the first of the Foinaven FPSO's 2 gas compressor trains was repaired, and the FPSO is currently producing approximately 35,000 barrels of oil per day. We expect the second gas compressor to be repaired in the fourth quarter. At which point, the unit is expected to be capable of achieving its targeted production rate of approximately 43,000 barrels of oil per day. In the third quarter, the charterer of the Knarr FPSO newbuilding BG Group requested design modifications to the mooring system in order for the FPSO to handle additional risers, which will be required to tie in oilfields adjacent to the Knarr oil and gas field in the North Sea. As a result, upon delivery from the shipyard, the FPSO will immediately enter into dry dock to complete the required modifications with the cost being covered by BG. This will delay first oil into the latter part of the fourth quarter of 2014. In September 2013, the charter contract for the Hummingbird FPSO was extended out to March 2016, including extension options with Centrica Energy. Centrica also has another option, exercisable by the end of this year, to extend the contract by a further 12 months. Turning to Slide 5. We continue to make progress on our existing portfolio of growth projects. I won't cover all the projects on this slide, however, I would like to provide you with a brief update on a couple of the projects shown here. During the third quarter, we reviewed the repair progress on the Banff FPSO project against our original installation plan. Due to delays by the shipyard in the repair and upgrade of the Banff FPSO, we determined, together with the charterer, that the installation during the winter months would carry too much risk and potentially increase the overall cost of the installation. As a result, we've agreed to delay the installation of the FPSO to the second quarter of 2014. Early in the fourth quarter, Teekay LNG's 50% liquefied petroleum gas, or LPG, joint venture with Belgium-based Exmar exercised its options to order an additional 2 medium-sized LPG carriers by Hanjin Heavy Industries, bringing the total number of LPG newbuildings ordered through this joint venture to 12 vessels. This is quite a start for a joint venture that's less than 1 year old. The contract prices of the newbuildings are favorable compared to current prices being offered at the shipyards. These 2 latest newbuildings will be constructed at Hanjin's shipyard in the Philippines and are scheduled for delivery in 2017 and 2018. The Teekay group also continues to add new projects, however, what's different from the past is that the new projects are being done directly at the daughter level rather than by Teekay Parent. Most recent example being the aforementioned acquisition by Teekay LNG of the 2 LNG carriers from Awilco LNG. Turning to Slide 6. It's the continued growth in our offshore and gas businesses through both organic projects and direct acquisitions by our MLP daughter company. The cash flows Teekay Parent receives on its LP and GP ownership have increased significantly over the past several years, especially now that both Teekay Offshore and Teekay LNG have achieved the 50% incentive distribution rights or high splits. With Teekay Offshore and Teekay LNG LP cash distributions expected to increase by 2.5% for the fourth quarter, the annual cash flows Teekay Parent receives on its LP and GP interest are expected to increase by approximately $12.3 million. Looking ahead, Teekay Parent's GP cash flows are expected to increase as our 2 MLPs take advantage of the strong fundamentals in their respective businesses. And now, I turn the call over to Vince to discuss the company's financial results.
Vincent Lok: Thanks, Peter, and good morning, everyone. Starting with Slide 7, I will review our consolidated results for the quarter. In order to present the results on a comparative basis, as we do each quarter, we have shown an adjusted income statement for the third quarter against an adjusted income statement for the second quarter, which exclude the items listed in Appendix A to our release. Later on, I will also provide our outlook for the fourth quarter. Turning at the top of the page. Net revenues increased by $23 million, mainly due to $17 million in revenues and customer-funded fleet studies relating to 2 FPSO projects we are pursuing. In addition, the revenues from the Voyageur FPSO increased as the unit commenced full hire on August 27, which was partially offset by a decrease in revenues from the Petro 1 FPSO, I was -- as it was in lay-up for the full quarter and the Foinaven FPSO was shut down for part of the third quarter as we discussed on last quarter's earnings conference call. And so operating expenses also increased by $23 million, mainly due to $20 million relating to the 2 FEED studies I referred to earlier, in addition, cost increase from a full quarter of operations for the Voyageur Spirit FPSO and an increase in maintenance costs relating to the repair of the Foinaven FPSO compressors, partially offset by a decrease in costs for the Petro 1 FPSO, which, again, was in lay-up for the fourth quarter and decreases in operating cost in the conventional tanker fleet. Time-charter hire, depreciation and amortization and G&A expenses were consistent with the prior quarter. Interest expense increased slightly due to the delivery of the BG shuttle tanker newbuildings and the impact of the new Norwegian bond issued by Teekay LNG. Equity income in Q3 decreased slightly from their prior quarter. It was actually higher than what we had expected due to stronger results from the Exmar LPG joint venture in the third quarter. Income tax recovery increased by $2 million, mainly due to adjustments to certain of our freight tax accruals. Noncontrolling interest expense increased to $34 million, mainly as a result of higher adjusted earnings in Teekay LNG, Teekay Offshore and Teekay Tankers compared to the second quarter. Looking at the bottom line. Adjusted net loss was $0.51 per share in the third quarter, up slightly from the previous quarter's adjusted net loss of $0.47. We estimate that the operational issues relating to the Voyageur and Foinaven FPSOs, which, as Peter mentioned, are now largely behind us, accounted for approximately $0.18 of the third quarter's net loss. Turning to Slide 8. We have provided some guidance on our consolidated financial results for the fourth quarter of 2013. We expect revenues for the fixed rate fleet to increase in the fourth quarter as a result of: $30 million of additional revenue from the Foinaven FPSO due to higher production and the recognition of the annual operational and oil price tariff revenues for fiscal 2013; $10 million from the Voyageur Spirit FPSO being on hire for the full quarter; $5 million from the BG shuttle tanker newbuilding deliveries; and $4 million from the 2 Awilco LNG carriers. These revenue increases are offset by the $17 million decrease from FEED study revenue recognized during the third quarter. Spot tanker revenue days are expected to remain consistent with Q3. And so far in Q4, we have fixed approximately 40% of our Aframax and Suezmax spot revenue days at average TCE rates of approximately $11,000 per day. And so operating expenses are expected to decrease by approximately $22 million due to the $20 million of FEED study costs recognized in the third quarter and $5 million from lower maintenance costs expected for the FPSO fleet, which is partially offset by a $3 million increase, the delivery of the BG shuttle tanker newbuildings and other minor changes. Time-charter hire expense is expected to decrease by approximately $3 million due to the redelivery of one shuttle tanker in Q4. Depreciation and amortization expected to remain consistent as increased depreciation from the BG shuttle tankers is offset by decreases due to the vessel impairment charges recorded in Q3. We expect G&A to be approximately $33 million in Q4, and net interest expense is expected to increase by $5 million due to the delivery of the BG shuttle tanker newbuildings, TGP's Norwegian bond for a full quarter and the Awilco LNG carriers. Equity income is expected to remain consistent with Q3 at about $29 million. Income tax expense is expected to be approximately $1 million, and noncontrolling interest expense is expected to be in a range of between $49 million to $51 million, primarily as a result of higher expected earnings in Teekay Offshore. So in summary, the fourth quarter results are expected to be significantly stronger than the third quarter as a result of higher cash flows from the Voyageur and Foinaven FPSOs, delivery and acquisition of newbuildings and lower vessel operating expenses. With that, I'll turn the call back to Peter to conclude.
Peter Evensen: Thanks, Vince. Turning to Slide #9, Teekay Corporation remains focused on the execution of the core elements of our corporate strategy, which includes delevering Teekay Parent's balance sheet, primarily through the sale of assets from its existing portfolio of FPSO and conventional tanker assets either to one of the Teekay daughter entities or third parties. The Knarr FPSO, our largest and most significant FPSO project to date, is expected to have the greatest delevering effect on Teekay Parent's balance sheet, and it is dropped down to Teekay Offshore. We continue to be focused on improving the profitability of our existing assets, including the successful execution of our growth projects, rechartering our existing assets at higher rates, redelivering out-of-the-money conventional tanker in charters and managing costs across our operations and offices. Lastly, Teekay Parent remains focused on taking advantage of the strong fundamentals in the offshore and LNG markets to find new opportunities that will support growth directly at Teekay LNG and Teekay Offshore, which, in turn, generate higher cash flows for our -- to our general partnership interest. Each of these core elements underpin our corporate objective of creating value for Teekay Corporation shareholders by increasing Teekay Parent's free cash flows and growing our underlying net asset value per share. Thank you for joining us on the call today. Operator, we are now ready to take questions.
Operator: [Operator Instructions] And we have a question from Justin Yagerman from Deutsche Bank.
Taylor Mulherin - Deutsche Bank AG, Research Division: This is Taylor Mulherin on for Justin. So I wanted to ask you, looking at the update on the FPSOs from the -- from an operational standpoint, could you provide a little bit more information about how you expect that to impact your expectations for the run rate profitability at Teekay Parent in '14?
Vincent Lok: Yes, the -- obviously, the delays or the issues that we've had, mostly in the third quarter and partially in the second quarter, have impacted our ability to reach run rate profitability in 2013. But as we mentioned, most of those issues are now behind us, and those units are on the way to returning to full production. And in the case of Voyageur's, it's earning for its full rate. So I guess the run rate profitability goal has been slightly -- temporary delayed. And so it -- that doesn't change our -- I think our original plans in terms of the profitability of 2014, with the exception, I guess, with the delay of the Banff returning to operations now are good for the second quarter of 2014.
Peter Evensen: Yes. I would say the Banff and the Knarr is a question of delay rather than having changed the strategy. And that's unavoidable, but that's part of our project business. So we remain confident we'll achieve the profitability, and we can see it. It's just delayed, as Vince said.
Taylor Mulherin - Deutsche Bank AG, Research Division: Sure. And then when I was looking at the sum-of-the-parts update, I noticed there's a fairly large difference just on the implied value of the GP equity. Is there anything interesting going on there, or any change to how it was calculated, anything like that?
Peter Evensen: Well, just that when we look at our competitors, as we say in the box on the right, it's on Slide 13 for everyone else, we can see that the value of GPs has been going up. So it attracts a different multiple. And we're also, of course, seeing that, as we say in the other box there, that we will get an uplift.
Vincent Lok: Yes. You noticed that we've applied the average of these 4 publicly traded GPs, which is about 34x, which is closer to where TGP and TOO are in the high splits. So we think that that's probably a better comparable to where we are in the high splits. We should -- as noted on Slide 13, this also does not include the intended Q4 distribution increase, which will further increase the sum-of-the-parts value.
Operator: We have a question from Brandon Oglenski from Barclays.
Brandon R. Oglenski - Barclays Capital, Research Division: But I guess when you look at the improvement here or getting back to run rate profitability on some of these projects, what's the outlook now for dropping down, let's say, the Foinaven and the Banff? Is there a set time schedule on that where TOO is going to be looking at this pretty aggressively?
Vincent Lok: We -- those are eligible to be dropped down, but we haven't given an exact timetable on when the Foinaven and the Banff will come back on contract. So as we've talked about the Banff gets an uplift starting in 2015, but then it gets a better -- it is more -- it's better to drop the Banff down after it gets its uplift in its contract, which will occur at beginning of 2015. And we continue to work with the charterer on the Foinaven in order to get their permission in order to drop it down. And so the good news is we have a very good dialogue with the charterer on the Foinaven now that we've been working on the technical side. We've had some subsea issues that -- we had some issues with our compressors and so we have a much more active dialogue with them. Hopefully, that'll result in us getting permission.
Brandon R. Oglenski - Barclays Capital, Research Division: Okay. And can we go back over some of the project pipeline both at Offshore and for the LNG? I think in the past, you've mentioned the number of projects that are out there and the ones that could be competitive. Are you seeing an expansion in the opportunities looking forward?
Peter Evensen: Yes. Well, each is a little different. So if we look at the LNG side, we're seeing more tenders as the -- for 2016, 2017 start-up. And as we've mentioned, it'll be -- we see a surplus of LNG ships in the run-up to 2016. That's okay for us at Teekay LNG because we're sold out. We chartered all of our ships. So we're okay with that. But we do note that there are certain ships that don't have employment right now or, basically, are waiting around. That cost money, but it doesn't cost us anything because we've chartered everything at Teekay LNG. But -- so we're competing on a bunch of tenders coming out. I won't mention them exactly by name for competitive reasons, but we're pleased with the flow that we see there. On the FPSO side, we get a little bit more of a look at new projects. And so -- because we're doing these front-end engineering studies, that takes a lot of time. And as Vince said, we had a lot of those that we expensed through the P&L this quarter. So we're seeing -- we're concentrating on our 2 basins, which are in Brazil, as well as in the North Sea. And there's been a lot of -- that's a lot of oil that's been found in the North Sea. So I can see for several -- the next several years, there will be a requirement for FPSOs. We also have marginal oil fields, especially in the U.K. sector, which are coming on and so both for FSOs, where we're building 2 of them, which -- you saw the Salamander and the Gina Krog, those are new projects this year. So we're hitting on some. We're not hitting on all of them, but were actually holding to our profitability targets. It's easy to win projects if you bid low and -- but we've been holding to our profitability targets, which is why I really like the MLPs because you have to do accretive deals.
Brandon R. Oglenski - Barclays Capital, Research Division: Right. And these forward projects would be growth at the daughter companies, right, not Teekay Parent?
Peter Evensen: That is correct. We don't -- with the exception of the Knarr, we don't have any units up at Teekay Corporation that are being, so-called, warehoused or dropped down. We do have some legacy assets, which we talked about and which was mentioned by you and the previous question about when those will get dropped down. But it is not our intention to add new projects up at Teekay Corporation, rather, as I said, the daughter companies will do those contracts directly. And that allows us to delever the balance sheet and rely upon the growth in the MLPs.
Brandon R. Oglenski - Barclays Capital, Research Division: Okay. And the last one for me. With the increase in free cash that you're going to get from the increased distributions, what's the priorities right now at Teekay Parent?
Peter Evensen: Well, we've eliminated the capital investment, as I've just said. So ultimately, as we finish the delevering of the balance sheet, then that is cash that'll be available for distribution to shareholders.
Operator: We have a question from Michael Webber from Wells Fargo.
Michael Webber - Wells Fargo Securities, LLC, Research Division: I wanted to jump in and talk about the Knarr just a bit. And, Peter, you mentioned in your prepared remarks that first oil is likely in the back end of Q4. And we're still a year away, but have you guys thought about how that impacts the dropdown timing, whether you need first oil to drop that down or whether you could drop it down while it's in drydock? And if you haven't thought about it, that could very well be the case. I'm just curious as to how that kind of impacts that liquidity inflection point.
Peter Evensen: Well, it's sort of new to us that the timing was delayed back out by approximately 6 months in total now. So we also have to get the unit around from Korea to Norway, and we haven't figured out if that'll be a dry tow or a wet tow. So we don't have a timing yet on when it'll get dropped. But good news, which we didn't talk about, is that we're well along the way to getting the debt facility in place on Knarr, which is another important step.
Vincent Lok: That's right. We're -- yes, we're making -- we're very close to finalizing the long-term financing for the Knarr, which is an important part of the being able to drop that down to Teekay Offshore.
Michael Webber - Wells Fargo Securities, LLC, Research Division: Right. That's actually my next question. Any specific time for there or just you guys are closer than you were last quarter?
Vincent Lok: We were targeting to get all the commitments in by the end of the year, this year.
Michael Webber - Wells Fargo Securities, LLC, Research Division: Got you. In terms of what's actually delaying the Knarr. And it seems like longer term, it might actually be a positive, and one of the longer-term risks around FPSOs is that we've heard from the talking at the channels is the risk that they have to change fields, which will require CapEx upgrades and off-hire and kind of erode those returns. The additional risers, the additional field service, it seems like it might be a long-term positive. Can you guys kind of quantify maybe the bumps in the size of the fields, the useful life of the fields that the Knarr will now be servicing, does that kind of take some of the risk out of the back end of that project?
Peter Evensen: Well, that's a really good point. The fact is that we've chartered it for a minimum of 6 years. But when we look of the fields and the associated fields around it, we can see that it'll probably stay on the field much longer. So we have our own internal estimates, which we don't generally share. But I -- it is a good positive that there's already looking at tying in associated fields around the Knarr field or, as we used to call it, the Jordbaer field. And so we actually see that it'll -- when an oil company is willing to invest more money upfront, then, obviously, they want to amortize it over a longer period of time. So in our projections, that means that Knarr will stay on longer than its minimum period, which is good news for our unitholders, ultimately.
Michael Webber - Wells Fargo Securities, LLC, Research Division: So now that's helpful. One more for me and I'll turn it over. And, Peter, you already have touched on this in terms of some of the FEED studies that are ongoing are now around the FPSO and FSO space. And just curious, earlier in the year, I think you guys threw out a $3 billion number. You already hit on one of those FSOs. So the implication is it's about $2.7 billion worth of potential offshore projects that you're looking at TOO. Any material update there, specifically around those 3 FPSOs that you guys are looking at, and certainly, the pretty big catalyst for post-Knarr kind of the GP cash flows? But any color there would be helpful. And whether that $2.7 million is still applicable, I mean, could be bigger or smaller?
Peter Evensen: Yes. We've actually seen some new projects for further periods start to come on to the radar screen. So yes, we won one out of the 2 floating storage projects. We lost the second one. Well, actually, we won -- those were in the U.K. sector, and we won one other one in the Asia timeframe or Asia geography. And then on the FPSO side, we've also, of course, been focused in on the Petrojarl 1 came off. So we're focusing in on the redeployment there. We've had a lot of reverse inquiry with people coming in and saying, "Is that unit available?" So we have to get our technical guys figuring out if that unit is suitable and what kind of upgrades it would require. And we continue to bid with both a ship shape design, as well as the Sevan design. I would say more of our opportunities were focusing on using the Sevan design, because we think it's a cheaper way of bringing in the oil. So we can offer more competitive rate than some of our competitors. And that's what we're looking at. I would say we're spending less time on conversions. We prefer the newbuildings. That gives us great redeployment opportunities. And so we downplayed it, not gone after some of the conversion opportunities that have been out there. And we haven't bid on some of the pre-salt, but I'm starting to see many more opportunities coming out of the Brazil sector for conventional oil fields.
Michael Webber - Wells Fargo Securities, LLC, Research Division: That's okay. Can you guys put a number on what you guys are involved in now from a fee perspective on the [indiscernible]? [indiscernible] opportunities, sir, not [indiscernible].
Peter Evensen: That'll be $3 billion.
Operator: We have a question from TJ Schultz from RBC Capital Markets.
TJ Schultz - RBC Capital Markets, LLC, Research Division: What's your outlook on timing to consider the potential for Teekay dividend growth as you move through the delevering process? Obviously, the Knarr drop is a major impact. But would you think that ahead of that you would at least have a view to share on how you would possibly handle a reset or the growth progression that you feel you can support into '15 and '16, given the growing GP IDR cash flows?
Peter Evensen: Yes, TJ. We -- as we've said, the big condition precedent or big event for us is that we complete the Knarr and drop it down. Then we will have delevered Teekay Corporation and then we'll be in a position to return more cash to the shareholders. So I would say that, that probably has been pushed a little bit out by the delay that we talked about in the Knarr to Q4 '14. But the big thing is to get it financed that way. We know we have the debt financing. And then I think the dropdown will happen in the second half of 2014, which is the other condition precedent.
TJ Schultz - RBC Capital Markets, LLC, Research Division: Okay. And the Hummingbird, is the dropdown dependent on Centrica extending the additional 12 months, or is the existing contract sufficient in your view for the FPSO to reside in Offshore?
Peter Evensen: I think from our point of view, we would like to know what the employment is beyond March 2016, before we drop it. So Centrica has a option to extend it, but we also have some other alternatives or plan Bs for where we could put the unit should they not declare the option. And as that becomes clarified, then we will -- then it'll become eligible for dropdown.
Operator: We have a question from Lin Chen [ph] from [indiscernible] Asset Management.
Unknown Analyst: You just mentioned that you saw some surplus in LNG vessels to 2016. But all your vessels has been fully contracted. So I'm just wondering when will be your -- next time you need to recontract your vessels for LNG?
Peter Evensen: So Teekay LNG has one ship coming open in 2015, one ship coming open in 2016. But we're -- we have some ships on order that we're looking at contracting. As we've said in the slide, we have 4 firm orders. 2 of those have already been chartered. That's great when you can charter a ship 3 years out in front of it. And we're already working on the employment for the other 2, and we're confident we'll get those chartered before they're delivered.
Unknown Analyst: Can you talk about -- I mean, like a -- why the other LNG firm is still building their vessel without a firm contract? I mean, what's dynamic for their outlook [ph] you think?
Peter Evensen: Well, I think it goes to people's business models. Our business model at Teekay LNG is more built to suit. We get a contract, we build against it. Other people have taken the view that if we build it, they will come. And then lots of people see opportunity, but we know that our ships that we have are preferred because they are this MEGI design, which is a simpler design. It saves money on fuel, and they're also sized up to be the maximum that can go through the Panama Canal. So it's a higher-risk, higher-return model to build it without contracts, and we've been more of a build to suit, which I think satisfies our shareholders that we have at Teekay LNG Partners. They want more stable cash flows rather than more feast and famine. So it's just a different kind of business model that we had. There is a spot market for LNG and some people are in it, but that's not really our market because that one, you have to wait around, get a contract/and our unit holders and our business model is to have more stable long-term contracts. We have grown to be the second largest independent LNG carrier on the back of doing business on these long-term stable cash flows, and so it's just a change in business models. Sometimes you make a lot of money, and sometimes you don't make a lot of money. And what we've been indicating to people is that we have a lot of stability so you shouldn't look at the short-term market. You should look at more of what our portfolio is and what our stability is. So that's what I was trying to say in my prepared remarks.
Unknown Analyst: Yes, great. Another question is we're happy to see you announce increased distribution like 2.5% in Q4. Given your strong balance at TGP and also coverage, do you think you can continue to grow your distribution like the same speed like it was in the next couple of years?
Peter Evensen: Yes. We're confident we can grow the Teekay LNG distribution by mid-single digits. Please tune in tomorrow when I talk about Teekay LNG and please ask the same question. But as it relates to it from Teekay Corporation's point of view, yes, we are. We have a combination of doing organic projects, as well as being able to make acquisitions like we did last quarter, and so we have a lot of different ways to grow that. We can grow it through the LNG point-to-point transportation. We have these FSRUs, which we're working on, as well as on the LPG side. So -- but it all underpins whether you have an industry that's growing. And what we see all around the world is that the demand for gas, it continues to grow both. And now we're starting to see the course of the transportation fuel. You see it even more in China. So we're confident that the demand for gas will continue to grow. And there aren't pipelines everywhere like they are in the United States. Therefore, the way you get that gas in is through LNG. So we're pretty pleased at that. And when we go out and talk with customers, people are building huge networks to be able to supply that LNG. From the LPG side, LPG side, that's propane, that's probably about a 60% retail market around the world. A lot of people use, of course, LPG as propane in their grills in North America. But it is used around the world because it's a great way to have energy. And so we continue to see as the -- more people want to move into middle class, there's more people who want to -- as their incomes rise, the demand for LPG will come on. But -- so the big news is that the infrastructure is being built, and we're part of that infrastructure. So that's why we've been more aggressive on the LPG side going forward, and that's underpinned by base contracts that we have for LPG, as well as ammonia.
Operator: [Operator Instructions] And we have a question from Michael Webber from Wells Fargo.
Michael Webber - Wells Fargo Securities, LLC, Research Division: Just one follow-up question on the Hummingbird, in terms of the option with Centrica and/or putting on new employment. When you guys look at that from a budgeting perspective, do you think that it now falls pre- or post-Knarr, how should we think about it?
Peter Evensen: I think that depends on what we get out of Centrica. If they extend it, then -- or we find another employment beyond it, then we'll be satisfied that it has enough of a stable cash flow, that it becomes eligible for dropdown. But we do have other growth coming in 2014. As we've said, we have the BG, we have the Remora. And toward the back half of the year, we have an FSO project. It's not like we're lacking at that. And while Hummingbird stays upstairs, it helps us get back to run rate profitability.
Michael Webber - Wells Fargo Securities, LLC, Research Division: That makes sense. I'm just thinking about it from a capital perspective because the Knarr is such a big drop. Just thinking of whether or not that fits before and after, but it seems like it's still contingent on the contract.
Peter Evensen: I see them as totally independent. One doesn't depend on the other. It's just -- if we get the right kind of contract on the Hummingbird -- whenever we get any of the legacy assets upstairs in the position where they have the right characteristics, then we're going to drop them.
Operator: And there are no further questions at this time. Please continue.
Peter Evensen: All right. Thank you, all, very much. We look forward to reporting back with you on the quarter in February. And I just want to say that it's -- I've been really pleased with how the whole Teekay team has tackled our operational issues that we talked about and quickly righted the ship. So I want to give a big shout-out to the whole Teekay team. Thank you.
Operator: Ladies and gentlemen, this concludes the conference call for today. We thank you for your participation. You may now disconnect your line, and have a great day.